Operator: Good afternoon, and thank you for standing by. Welcome to the Westlake Chemical Partners First Quarter 2025 Earnings Conference Call. During the presentation all participants will be listen-only mode. After the speakers’ remarks, we will be invited to participate the question-and-answer session. As a reminder, this conference is being recorded today, May 2, 2025. I would now like to turn the call over to today’s host, John Zoeller, Westlake Chemical Partners’ Vice President and Treasurer. Sir, you may begin.
John Zoeller: Thank you. Good afternoon, everyone, and welcome to the Westlake Chemical Partners first quarter 2025 conference call. I am joined today by Albert Chao, our Executive Chairman; Jean-Marc Gilson, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; and other members of our management team. During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake refer to our parent company, Westlake Corporation; and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake and the Partnership, which owns certain olefins assets. Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners’ MLP distributable cash flow. Definitions of these terms are available on the Partnership’s website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management’s beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in our regulatory filings, which are also available on our Investor Relations website. This morning, Westlake Partners issued a press release with details of our first quarter 2025 financial and operating results. This document is available in the Press Release section of our web page at wlkpartners.com. A replay of today’s call will be available beginning two hours after the conclusion of this call. The replay can be accessed via the Partnership website. Please note that information reported on this call speaks only as of today, May 2, 2025, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com. Now I’d like to turn the call over to Jean-Marc Gilson. Jean-Marc?
Jean-Marc Gilson: Thank you, John. And good afternoon everyone. And thank you for joining us to discuss our first quarter 2025 results. In this morning’s press release we reported Westlake Partners’ first quarter 2025 net income of $5 million or $0.14 per unit. Compared to the fourth quarter of 2024, our first quarter sales and earnings were impacted by the planned turnaround at a Petro 1 ethylene unit in Lake Charles, Louisiana which resulted in lower production and sales volume in addition to higher maintenance capital expenditure. The stability of Westlake Partners business model is consistently demonstrated through our fixed margin ethylene sales agreement which minimises market volatility and other production risk. The high degree of stability in cash flow, when paired with the predictability of our business, has enabled us to deliver the long history of reliable distributions and coverage. This quarter distribution is the 43rd consecutive quarterly distribution since our IPO in July of 2014 without any reductions. I would now like to turn our call over to Steve?
Steve Bender: Thank you, Jean-Marc, and good afternoon, everyone. In this morning’s press release, we reported Westlake Partners’ first quarter 2025 net income of $5 million or $0.14 per unit. Consolidated net income, including OpCo’s earnings was $42 million on consolidated net sales of $238 million. The partnership had distributable cash flow for the quarter of $5 million or $0.13 per unit. First quarter 2025 net income for Westlake Partners of $5 million was $10 million below the first quarter 2024 partnership net income primarily due to lower production and sales volume as a result of the planned turnaround at Petro 1. Distributable cash flow of $5 million for the first quarter of 2025 decreased by $12 million compared to the first quarter of 2024 due to the lower production and sales volume and higher maintenance capital expenditures as a result of the Petro 1 planned turnaround. Turning our attention to the balance sheet and cash flows, at the end of the first quarter, we had consolidated cash balance and cash investments with Westlake through our investment management agreement totaling $154 million. Long-term debt at the end of the quarter was $400 million, of which $377 million was at the Partnership and the remaining $23 million was at OpCo. In the first quarter of 2025, OpCo spent $16 million on capital expenditures. We maintained our strong leverage metrics with a consolidated leverage ratio of approximately 1x. On April 30, 2025, we announced a quarterly distribution of $0.4714 per unit with respect to first quarter of 2025. Since our IPO in 2014, the Partnership has made 43 consecutive quarterly distributions to unitholders and we have grown distributions 71% since the Partnership’s original minimum quarterly distribution of $0.275 per unit. The Partnership’s first quarter distribution will be paid on May 29, 2025 to unitholders of record May 13, 2025. Partnership’s predictable fee based cash flow continues to prove beneficial in today’s economic environment and is differentiated by the consistency of our earnings and cash flows. Looking back, since our IPO in July of 2014, we have maintained a cumulative distribution coverage ratio of approximately 1.1 times and with a Partnership stability in cash flows, we were able to sustain our current distribution without the need to access the capital markets. For modeling purposes, our Petro 1 ethylene unit began the restart from its planned turnaround on April 12 and continues to ramp up to meet market demand needs. As Jean-Marc mentioned, we have no further planned turnarounds in 2025 or 2026. Now I’d like to turn the call back over to Jean-Marc to make some closing comments. Jean-Marc?
Jean-Marc Gilson: Thank you, Steve. We are pleased with the successful completion of the Petro 1 turnaround, which positions us for solid production levels in the future. Our first quarter financial performance was consistent with our expectations and prior experience during a period where a significant turnaround temporarily impacts our production and sales volume. Turning to our outlook, global trade tensions have intensified in recent weeks creating a heightened atmosphere of uncertainty for businesses and investors. While trade negotiations are likely to continue to cause some market volatility, the Partnership’s financial performance and distributions will continue to be supported by our ethylene sales agreement, which provides a predictable fee based cash flow structure from our take or pay contract with Westlake for 95% of OpCo’s production. As has been the case since our IPO over 10 years ago, this ethylene sales agreement will continue to deliver stable and predictable cash flows through economics – through economic ups and downs, as well as planned and unplanned turnarounds. Turning to our capital structure, we maintain a strong balance sheet with conservative financial and leverage metrics. As we continue to navigate market conditions, we will evaluate opportunities via our four levers of growth in the future, including increases of our ownership interest of OpCo, acquisitions of other qualified income streams, organic growth opportunities such as expansions of our current ethylene facilities, and negotiation of a higher fixed margin in our ethylene sales agreement with Westlake. We remain focused on our ability to continue to provide long-term value and distributions to our unitholders. As always, we will continue to focus on safe operations along with being good stewards of the environment where we work and live as part of our broader sustainability efforts. Thank you very much for listening to our first quarter earnings call. Now I will turn the call back over to John.
John Zoeller: Thank you, Jean-Marc. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available two hours after the call has ended. We will provide instructions to access the replay at the end of the call. Michelle, we will now take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Matthew Blair with TPH. Your line is open.
Matthew Blair: Thank you, and good afternoon. It seems like the financial impact of the Q1 turnaround at Petro 1 was a little bit more significant on your quarterly earnings than previous turnarounds. Could you help us understand that? Was that just a function of the size of the turnaround? Or were there like any unplanned expenses that caused a bigger impact there?
Steve Bender: Matthew, this is Steve. It really went really as we had planned in terms of the impact. We brought the unit down at the end of January. And so for the quarter, it was down for the months of February and March. And so we expect the unit to be down from a production perspective in those two months. And so the impact for the quarter really was reflective of what’s going on. I think you may be also factoring into the fact that we still are seeing elevated interest rates kind of weighing on the loan obligations that the company has. That’s probably the factor that you might be thinking about because realistically, the performance and its production over the course of the quarter was really as we had been expecting and frankly as we had internally budgeted.
Matthew Blair: Okay. Sounds good. And then the valuation difference between the parent Westlake and the MLP Westlake LP seems to have compressed lately. Is there still enough of a valuation difference to justify keeping Westlake LP around?
Steve Bender: Yes. It’s a good question. I think as you think about the parent, the C-Corp, it certainly has seen some compression in its valuations, which increases its multiple accordingly. But we tend to think about this, excuse me, over the business cycle rather than at any current period in time. And so as we think about this, the value proposition has continued to be there. As you know well, the markets have been challenged in terms of dropdown stories in the MLP space. But nevertheless, the valuation differential between the partnership where it trades and Westlake Corporation where it trades really over a reasonable cycle period of time remains pretty elevated.
Matthew Blair: Great. Thanks for your comments.
Steve Bender: You’re welcome.
Operator: Thank you. [Operator Instructions] At this time the Q&A session has now ended. I will now turn the call back over to John Zoeller.
John Zoeller: Thank you again for participating in today’s call. We hope you will join us for our next conference call to discuss our second quarter 2025 results.
Operator: Thank you for participating in today’s Westlake Chemical Partners First Quarter 2025 Earnings Conference Call. As a reminder, this call will be available for replay beginning two hours after the call has ended, and may be accessed until 11:59 p.m. Eastern Time on Friday, May 16, 2025. The replay can be accessed via the Partnership website. Goodbye.